Operator: (Operator Instructions) Welcome to The J.M. Smucker Company Second Quarter 2010 Earnings Conference Call. I will now turn the conference call over to the Chief Financial Officer, Mr. Mark Belgya.
Mark Belgya: Welcome to our second quarter earnings conference call, thank you for joining us. Also on the call from the company are Tim Smucker, Chairman of the Board and Co-CEO who is joining us remotely, and with me today in Orrville are Richard Smucker, Executive Chairman and Co-CEO, Vince Byrd, President of our Coffee Business, Steve Oakland, President of Smuckers, Jif, and Hungry Jack, Mark Smucker, President of our Special Markets and Paul Wagstaff, President Oils and Baking. After this brief introduction I will turn the call over to Tim for opening comments. I will then review the financial results for the quarter and Richard will provide closing remarks. At the conclusion of these comments we will be available to answer your questions. If you’ve not seen our press release it is available on our website at Smuckers.com. A replay of this call is available on the website. If you have any follow up questions or comments after today’s call please feel free to contact me or Sonal Robinson, Director of Investor Relations. I would like to remind you that in both the prepared comments and during the question and answer period that follows, we may make forward looking statement that reflect the company’s current expectations about future plans and performance. These forward looking statements rely on a number of assumptions and estimates and actual results may differ materially due to risks and uncertainties. I invite you to read the full disclosure statement in the press release concerning such forward looking statements. I also want to point out that the company uses non-GAAP results for the purpose of evaluating performance internally. Additional discussion on non-GAAP information is also detailed in our press release and on our website. I’ll now turn the call over to Tim.
Tim Smucker: I would like to begin by summarizing the key highlights for the quarter. We delivered the highest quarterly sales and earnings results in our history. Sales were up 52% mainly due to the addition of Folgers, profits were up in each business segment, non-GAAP earnings per share were up 21%, and cash from operations exceeded $210 million. As we celebrate the one year anniversary of completing the Folgers merger, the coffee business performance continues to exceed our expectations. Our strategy of owning number one brands positions us to perform well in today’s economic environment where consumers are eating at home more and placing even greater emphasis on value. We generally benefit as we did this quarter with volume increases across many of our retail categories. Operating margin continues to expand significantly driven by the profitability of the coffee business. In addition, many of our core businesses also realized margin gains due to the lower commodity costs and synergy benefits. We continue to invest in our brands as evidenced by an increase in marketing expenses of over 70% for the quarter currently in support of the fall bake and holiday periods. Now let me emphasize some key points on each of the four business segments. We experienced another strong quarter in coffee in both sales and profits. Our ongoing focus on the Folgers brand led to growth in traditional roast and ground. The continued expansion of Dunkin Donuts coffee and gourmet also added to the growth of the business. We have made tremendous progress in the 12 months we have owned the coffee business. We quickly achieved all key integration milestones thanks to the efforts of our dedicated employees which was really exceptional and I want to really pay attention to what tremendous effort was put in to by each of our employees. Also, we focused on opportunities to grow the brand. We recently completed two new commercials which emphasize that Folgers is the best part of waking up. One of these spots is currently airing for the holidays with the other set for January. In addition, during the quarter we began airing a new television ad for Dunkin Donuts coffee emphasizing the exceptional taste that is now available where you shop for groceries. We are utilizing a wide array of marketing elements for our coffee brands and as several new products and developments to grow our largest product category. In the Consumer segment volume was essentially flat with gains in peanut butter, pancake mixes and syrups offsetting declines in fruit spreads. Sales in Consumer were unfavorably impacted by the mix of products sold. In line with eating at home and back to baking trends our Oils and Baking segment delivered good volume growth with both Crisco and Pillsbury brands increasing. Sales for this segment were down as expected primarily on price decreases taken in various categories. Based on category data for the 12 week period our Pillsbury frostings are now the number one brand in volume sales. This is a significant milestone for the business and is the result of our focus on product quality, innovation of new products, and marketing support. We are now more then half way through this year’s fall bake and holiday periods. We have a combination of new products, good merchandising programs and marketing investments. We expect a strong finish to the remainder of the season. Finally, sales in the Special Markets segment increased 15% due to the addition of Folgers. Volume gains were realized in Canada, primarily in the baking and pickles category. The Food Service and Natural Foods areas continue to be challenged mainly due to the impact of the current economic environment. In summary, we delivered another quarter of strong financial results. The contribution from our coffee business continues to exceed our expectations. We continue to support our brands with record levels of investment spending and new advertising emphasizing the brand equity. With our strategy of owning number one brands we are well positioned to meet the needs of both our consumers and retailers. I would now like to turn the call back to Mark to have him review the financial results for the quarter.
Mark Belgya: Sales for the quarter increased $436 million or 52%. Excluding coffee sales were down 6% for the quarter. Volume was up 1% and was more then offset by a 7% decline due to price and mix with price the key driver. GAAP earnings per share were $1.18 this quarter and $0.94 in the second quarter of last year including restructuring costs last year and merger and integration costs in both years. Excluding these charges earnings per share were $1.22 this quarter and $1.01 in last year’s second quarter, an increase of 21%. If you also exclude amortization in both years, earnings per share were $1.32 this quarter and $1.03 last year, an increase of 28%. Last year’s results included charges of approximately $24 million related to non-qualifying commodity derivatives of which approximately three quarters reversed in future periods. Gains and losses this quarter were not material. Operating income increased $146 million for the quarter excluding charges and increased as a percent of sales from 11% to 18.7%. Higher amortization expense in the current quarter negatively impacted margin by approximately 130 basis points. Gross profit increased $249 million over the second quarter of last year and was the primary driver of the increase in operating income. Gross margin improved from 28.9% last year to 38.5% this quarter. Coffee contributed approximately 90% of the increase and continued to be impacted by favorable green coffee costs, volume related plan efficiencies, and product mix. Gross margin for the remaining Smucker business improved by nearly 500 basis points over the prior year, primarily due to the negative impact last year of the charges related to commodity derivative. In addition, lower raw material and distribution costs this year had a favorable impact. SD&A expenses increased approximately $83 million mainly effecting the addition of Folgers and increased as a percent of net sales from 17.8% to 18.2%. Marketing expenses increased more than planned and at a greater percent then the increase in net sales in support of our brand building initiatives including new advertising across many brands. Marketing and selling expenses totaled 10.1% of net sales compared to 9.6% last year. Looking at other key EPS components, interest expense was up $6 million reflecting the borrowings associated with the Folgers transaction. As scheduled, earlier this month we paid off the $350 million Folgers bank debt and $200 million in senior notes assumed in the multi-foods deal in 2004. This was completed using a combination of cash and borrowings against our existing $180 million credit revolver. Following the pay down, outstanding borrowings on the revolver were approximately $100 million. During the second quarter we closed on the three year $400 million revolver but currently have no outstanding borrowings against this new revolver. The effective income tax rate for the quarter was 34.9% compared to 33.4% in last year’s second quarter, reflecting the higher effective tax rate associated with the Folgers business and a net favorable resolution of previously open tax positions in 2009 as compared to 2010. We continue to anticipate a full year tax rate of 34% to 34.5%. Let me now comment on our reportable segments. The US Retail Coffee segment contributed $445 million to net sales for the second quarter of 2010. Compared to the same three month period last year prior to the transaction, volume was up 5%. Folgers contributed three quarters of the growth with Dunkin Donuts coffee accounting for the remainder. The Coffee segment contributed $149 million to profit and achieved a 33.4% margin. We realized approximately $11 million in favorable plant overhead absorption during the quarter due to six months of stronger then planned sales volume and lower operating costs. Additionally, green coffee costs remained favorable. We made decisions to further reinvest in the brands which offset some of the gross profit gains. This additional marketing supported our continued effort to reestablish the Red Can and support other initiatives behind Folgers and Dunkin Donuts coffee. We continue to believe that current margins in the US Retail Coffee segment are in excess of longer term expectations. However, now that we’ve owned the business for 12 months we believe certain factors have changed since our original estimate of 28%. The favorable margin impact related to mix along with decreases in overhead manufacturing costs have caused us to increase our longer term target to exceed 30%. As we said previously, our objective is to grow margin dollars. Therefore any significant change in price, up or down, would have an impact on the resulting margin percent. Sales in our US Retail Consumer segment were down 4% primarily due to mix as volume was flat for the quarter. Volume and sales gains were realized in peanut butter, pancake mixes and syrups. Volume and sales were down in fruit spreads due to mix while potatoes and crustable sandwiches and specialty foods also declined. Segment profit increased 4% mainly due to lower distribution and operating costs. Segment margin improved by 190 basis points compared to last year’s second quarter. In the US Retail Oils & Baking segment sales declined 9% compared to last year primarily reflecting the impact of price decreases taken earlier this calendar year and higher promotional spending on Crisco Oils. Segment volume was up 3% with Pillsbury and Crisco brands up 14% and 12% respectively. These gains were primarily offset by declines in canned milk. Segment profit increased 55%. The majority of last year’s second quarter derivatives charge negatively impacted the US Retail Oils & Banking segment. This year supply chain efficiencies including lower distribution costs offset an increase in marketing primarily in support of the Pillsbury brand and a lower contribution from canned milk. Total sales in the Special Market segment increased 15% as the addition of Folgers and a 6% volume gain in Canada more then offset the impact of volume declines in the Food Service and Natural Foods business areas, which are still generally attributable to the current economic environment. Excluding coffee, Special Markets net sales would have been approximately 5% less then last year’s second quarter. Profit in the Special Market segment was again strong, increasing 56% for the quarter mainly due to the addition of Folgers and lower costs. Let me now conclude with comment on a couple other financial metrics. EBITDA excluding merger related costs and adding back share based compensation expense as amortization was $289 million or 22.6% net sales. Through the first half of the year, EBITDA is $523 million meaning we are tracking well ahead of our previous annual estimate of a full year EBITDA of $920 to $940 million. Last quarter I commented that we expected a significant use of cash to support working capital requirements in the first half of the fiscal year and then reverse favorably as we complete key promotional periods. Cash from operations in the second quarter was a strong $212 million bringing our year to date total to $186 million. We would expect this trend to continue during the second half of the year. Turning now to our cost outlook for the remainder of the year. We are hedged on our key commodities of coffee, soybean oil and wheat into late third quarter to early fourth quarter of this fiscal year. We have recently seen some pressure on certain key commodities such as soybean oil and ingredients such as sugar and cocoa continue to rise. We will monitor both situations to determine appropriate future pricing actions. I would now like to turn the call over to Richard.
Richard Smucker: We had another record quarter with the fall bake and holiday sales starting off strong and good momentum going into the second half of the year. In support of our brands, we have made significant investments in advertising, incorporating both traditional and emerging media. As we have stated before, our company’s purpose is to assist families in coming together to share memorable meals and moments. We continually reinforce this message through our consumer communications be it television, print, event marketing, public relations, or digital media. For example, we developed a special vignette on this topic which will air on NBC Figure Skating series throughout the winter. In addition, over the last year we have produced 19 new television ads most of which are currently airing during this fall period. Tim mentioned the new Folgers and Dunkin Donuts coffee spots that we have run. We have prepared three new Smucker commercials adding to the Smucker’s boys campaign emphasizing the heritage and quality of the brand. We continue to extend our Choosy Mom’s campaign for Jif Peanut Butter emphasizing the importance of quality with this brand. We continued our Crisco Olive Oil television advertising this fall. These ads have had a positive effect on the brand as a whole, elevating the brands perception across all of our Crisco products. For the first time since we’ve owned the business, we have several new Pillsbury commercials on air emphasizing our product quality, the breadth of our innovative offerings, and featuring the iconic Dough Boy. Hopefully you will see a number of our ads during the holiday season. Our multi-brand promotions are important because they provide an anchor for our retail merchandising events with our customers across the country. We recently distributed a nine page national FSI featuring eight of our brands. The FSI showcases the quality of our trusted family of brands and is the first holiday overlay to include Folgers coffee. In addition, each major brand included in the overlay has television advertising support during the holiday season supplemented with print advertising in over 60 national magazines. Finally, we are using digital communications for almost all of our brands. Consumers are responding well to our marketing efforts and we are seeing good performance from our portfolio of products. We are very pleased with our financial results for the first six months of the fiscal year. As a result, we are comfortable raising our outlook for the year. We continue to expect net sales of approximately $4.5 billion. We anticipate income per diluted share excluding merger and integration costs in the range of $3.95 to $4.05 an increase from the high end of our $3.65 to $3.80 range that we previously had. Amortization of approximately $0.40 per share is included in our forecast. Excluding amortization our new forecast is $4.35 to $4.45 per share. Based on the expanded guidance we anticipate EBITDA will exceed $970 million which is ahead of our previous estimates. We are maintaining our outlook on the cash flow items that we provided you in June except for capital expenditures which we now expect to be approximately $150 million. There are several factors we considered in looking at the second half of the year to determine our guidance. First, we are still operating in a very challenging economy and as such we remain cautiously optimistic. Second, we have just completed our first year of operating the coffee business. As a result, top line comparisons will now normalize with coffee included in both years. Finally, as a reminder, the charges related to commodity derivatives were generally reversed in the second half of last year, resulting in a favorable impact. As you may recall, last year’s fourth quarter performance was exceptionally strong and we do not expect to repeat it. Although we normally do not comment on quarters last year’s fourth quarter was higher then last year’s third quarter, contributing 55% of the second half of the year’s earnings per share. This is not our typical trend so we expect this year to be a more normal pattern between the third and the fourth quarters. In summary, first, we had another record quarter in a challenging economic environment. Second, we are off to a good start in fall bake and the holiday period and are well positioned with new products and advertising. Third, we are confident in our prospects and have raised our outlook for the year. Fourth, we believe that our strategy of owning number one brands positions us well for future growth. Finally, we want to thank our employees for their efforts. We would not have been able to achieve our success without their talent and their dedication. Thank you for your time today and now we’ll be happy to answer your questions.
Operator: (Operator Instructions) Your first question comes from Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank: My first question has to do with the comments that you made about some creep up in some of the commodities of late. I wanted to get a sense from you as to given your willingness to move pricing around more aggressively then some of your peers how do you think it plays out if you have to go back to the trade and talk about price increases?
Paul Wagstaff: Regarding Oils, we have seen about 10% increase in the cost of oil since last time we talked first quarter. As you know, we are covered through our fall bake time period and that would be with all of our key commodities. As we look at pricing we are looking at pricing as first the calendar year and that’s typical what we would do. Again, I think we’ve been relatively transparent in all of our key commodities and how we price it with our customers. I think we’d be comfortable if the commodities are a rate that we need to make an increase or decrease that we would do that.
Eric Katzman - Deutsche Bank: Is there any way to comment on some of the other inputs or is that just basically the same kind of situation?
Vince Byrd: As you know, we’ve commented earlier that we’re out about 18 to 22 weeks on coffee. You probably have followed the market, Arabica coffee has increased from the first quarter to the second quarter. Although we anticipate being in pretty good shape for the third quarter we do anticipate some increases in the fourth. However, as long as that’s inside or outside of our pricing guidelines, if we need to we’ll adjust price at that point.
Eric Katzman - Deutsche Bank: Within Coffee you had gone to an EDLP type strategy, my sense is with 5% year over year volume growth that you continue to take share unless the category is growing a lot more rapidly then I thought. Can you talk about the competitive landscape in coffee, has Maxwell House followed your strategy and was there any impact to your business during the quarter because of that approach?
Vince Byrd: What we did is basically took a very significant portion of our trade spend and put it into everyday price. If an account was actually already an EDLP account that was most likely no effect. If you were a high/low account your everyday price was reduced and then your promotional price may not be as deep as it has been historically. Secondly, as you know, we announced that and started to implement that back in the first quarter and our major competitor did not follow until about two weeks ago that we received confirmation that for the most part they have followed that strategy almost penny for penny and that will be implemented as we understand sometime in our third quarter or after the beginning of the new calendar year. Did that contribute to our growth? I would say that yes it probably did. Folgers grew over 4% during the second quarter as it did in the first quarter. I wouldn’t contribute it all to that. I think there are a number of factors from our sales team, our marketing efforts, multi-branding promotional activities etc. that probably contributed to that growth.
Operator: Your next question comes from Ed Aaron – RBC Capital Markets
Ed Aaron – RBC Capital Markets: If I look at the margins in the business they’re approaching what is generally considered to be the upper limits of what have historically been sustainable margins for companies in your industry. Curious to get your thoughts on whether you think this is about as good as it can get on the margin side in your business. If so, how do we think about your ability to comp against these numbers a year out from now?
Mark Belgya: Clearly our margins have well exceeded but we had a target prior to Folgers of 15% operating margin. We felt at the time that was a good target for the size company we were in. We’ve clearly eclipsed that. I guess I would bring you back to the commentary we really had since the first quarter we owned the Coffee business. We continue to exceed those margins anywhere pick the number between 400 and 600 basis points. We are in a good spot. Having said that though, I think as time passes we will come to the market with some sort of operating margin target. I think its important that now we’re going to take a step back and we will look at opportunities to drive margin expansion. I know the question was asked time and again last quarter about synergies and we’ve concluded the discussion there that we’ve achieved the $80 million. We’re not going to stop and rest on our laurels there. We’ll continue to look in our business units to see if there are opportunities to expand the margins, that’s where the challenge of each of the Presidents and their respective teams have.
Paul Wagstaff: I would add, similar to what we said in the first quarter I think Eric had picked it up that the margin percents are going to vary depending upon where the commodities lie at any one particular time. Given that commodities have come down primarily in Oils & Baking and Coffee those margin percents are at the higher end of what we would expect. As those commodities increase and we tend to pass on cost increases as opposed to maintaining those margin percentages.
Ed Aaron – RBC Capital Markets: On the base business side, I was a little bit surprised that the volumes in that business weren’t a little stronger just given what some of the sell through data have shown recently. Could you help me understand where that disconnect might lie?
Steve Oakland: I think you really have to be careful looking at just this quarter on fruit spread business. If you know that our key merchandising period of back to school really straddles these two quarters, a lot of that volume will ship in July, will sell in August so I think if you look at the fruit spread business over the last six months you see nice volume growth. Even in this quarter our total consumer volumes were flat. We’ve got nice volume growth. Having said that we’ve talked about the mix change. We are seeing two types of mix change both in what products the consumer is choosing and where they’re choosing to buy them. We’re seeing things like a 10 ounce sugar free item, we’re seeing that consumer trade to an 18 ounce or a 32 ounce strawberry item. Those 10 ounce sugar free items are very expense brands. The traditional items are a lot less expensive per ounce. We’re seeing that consumer move around within the category but year to date we’ve got nice volume growth. I think we’re uniquely positioned frankly, we’re in not just all of those segments but we’re in all the channels with those segments. We’re in all the discount channels, we’re in mass and club and all those places. We’ve been able to meet those needs. The consumers been moving around a little bit but actually we feel pretty good. Its been a long time I think since we’ve had the kind of real volume growth in fruit spreads that we’ve had the first six months.
Ed Aaron – RBC Capital Markets: I think you mentioned that there’s no change to the operating cash flow guidance. Any reason why that wouldn’t come up along the lines of what you’re doing with the EPS guidance?
Mark Belgya: I think you’re referring to Richard’s comments. We didn’t change anything in terms of the components that we gave out to determine cash flow. We’re not suggesting that the cash flow number itself is the same. As we’ve said in the past and this is still true with our updated guidance, we still think that EPS range excluding the amortization is a fairly good proxy for a cash flow per share number.
Operator: Your next question comes from Scott Mushkin – Jefferies
Scott Mushkin – Jefferies: One of the things I wanted to poke out a little bit is whether this can continue. Obviously just extraordinarily strong results. I was wondering if you could place it in buckets from a margin perspective. I know you said the commodities moving up and down that will change the rate. I was going to look at the repeatable what you guys are doing from a productivity standpoint as a percent of the better margins, if you guys could bucket it for me I think that’d be great.
Mark Belgya: If you look from the highest levels, if you look at it from a gross profit and an SD&A level clearly gross profit is driving the over delivery of income. Some of that, as we said throughout the call and throughout the last couple quarter is driven around the commodity costs. As we said, we also had efficiencies this quarter particularly in Coffee but across some of our other operational areas that we’ve been able to lower costs and with increased volume have favorable overhead absorption. Some of that will continue. Clearly the commodity will drive some of that. On the SD&A side I would say that its a little higher then we had originally directed earlier in the year. Part of that is as we went through our synergies originally we of course had to take some cuts on where we felt it would fall on cost of goods sold and SD&A. As its turned out we’ve had probably a little bit more savings in the cogs area so that too has driven the historical or the year to date gross profit and a little bit less in the SD&A side which is driven a little higher SD&A for the year to date and also going into the back half of the year. Going back to my earlier comment on productivity improvement the intent is to continue to drive profit dollars so we realize that we have set some high standards and we’re going to continue to look at opportunities to improve margins in each of the business areas.
Scott Mushkin – Jefferies: Would you think 70% in commodities and 30% is stuff you guys have been doing or is that way off base?
Mark Belgya: I’d have to work through it but I don’t think that’s way off because like I said before, most of it is from gross profit and commodities too played a big part of that.
Scott Mushkin – Jefferies: I want to understand you comments between the third and fourth quarter a little bit better. Seems as I look at the Streets numbers people are already assuming the fourth quarter is going to be a lot more muted compared to the third quarter. I wanted to make sure I got the meaning of what you guys were saying between the third and fourth quarters.
Mark Belgya: I think if you look back, Richard made the comment that last year was certain an anomaly in terms of the percent of our back half of the year profits between third and fourth quarter. The second and third quarter obviously are key fall bake and holiday promotional periods, the majority of the profits fall into those two quarters. I think if you look back a year prior, historically we think that’s a better reflection of what the back half will fall in terms of the third and fourth quarter.
Scott Mushkin – Jefferies: The spend that you guys are doing which is increasing we saw that in the quarter, it seems like as we walk the stores it seems like you’re not alone there. I was wondering, first of all, are you going to anticipate volumes to pick up as we move through the third and fourth quarter if the spend is increasing and how are you measuring ROI on the spend?
Mark Belgya: When you talk about spend are you talking about spending with the retailer or spending through the increased advertising?
Scott Mushkin – Jefferies: The increased advertising.
Richard Smucker: Obviously whenever we can and whenever we see the margins where they are we try to invest a little bit more in the brands and the advertising. We’ve taken advantage of investing behind these brands a little more then we normally would.
Paul Wagstaff: I’d also add that on Pillsbury, again we’re advertising that brand for the first time in the bake aisle since we’ve owned it and again we expect to continue to do that.
Mark Belgya: One last comment, a little different then some of our peers, we really do focus on investing in the equity of our brands. We’re not necessarily out there trying to get a period, we’re certainly supporting our fall bake period but we really do invest our brands and we expect that carry over to be more then just the next three months.
Operator: Your next question comes from Farha Aslam – Stephens
Farha Aslam – Stephens: In Coffee you had anticipated $800 to $850 million in higher sales year over year this year. Is that number still good and does that include the Canadian coffee as well?
Vince Byrd: It does not include the Canadian or Food Service or away from home coffee, its just the Coffee SBA.
Farha Aslam – Stephens: Is the $800 to $850 million still good?
Mark Belgya: It think its probably in the range but we’ll have to take a harder look at it.
Farha Aslam – Stephens: You had talked about the increased investment in marketing support for your brands. Is there a way you could quantify what’s included in your fiscal 2010 guidance in terms of increased A&P support for your business overall?
Richard Smucker: Mark can probably cover that offline afterwards but we were up 70% in our marketing spend and our sales were up 53%. You can see that we made significant more investing in the brand then probably in a normal quarter. As Mark said, this is throughout the year its not going to be just one quarter.
Steve Oakland: One other thing we are benefiting from this year with the economic situation and the advertising and media purchasing environment, we had great synergy. The addition of Folgers business has made us much more effective. Those dollars that we’re spending have really gone farther this year as well. We’ve been able to do, as Richard mentioned in his opening comments, a number of new commercials, we’ve done a tremendous amount of that. We’ve been able to put them in places efficiently that had been hard to do over the last couple years. We think that’s going to have benefit but its going to benefit over the long term.
Richard Smucker: I think Scott asked the question how do you do an ROI on that. To be honest, its a long term ROI its not a quarter by quarter ROI. We definitely have seen it in long term results and seen it in share of market over periods of years as opposed to periods of months.
Mark Belgya: To draw a conclusion to your question on the marketing. What we do have is in the year end disclosures we said that our sales and marketing as a percent would be about 10% we had been running below that last year. For the year its probably 10.1% to 10.2% and that would be the marketing.
Operator: Your next question comes from Mitch Pinheiro - Janney Montgomery Scott
Mitch Pinheiro - Janney Montgomery Scott: When I look at the $4.5 billion sales guidance for the year and you subtract the first half it looks like you’re looking for sales to be down 4% for the second half. Is that right? How does that break down volume, price and are there any underlying dynamics there that we ought to know about to help us understand?
Mark Belgya: Note that the $4.5 billion is a pretty rounded number. We will be down, depending on how you want to take that rounding. In terms of the volume price mix we don’t typically get into that. We would say that volume is probably somewhat reflective of what we saw in the quarter would be good. Pricing laps in January for most of the baking. I don’t think FX would have a significant impact. That’s probably the three areas that we would comment generally on.
Mitch Pinheiro - Janney Montgomery Scott: In the core Smucker business pricing was down about 7% in the quarter so you’re lapping pricing in January does that suggest that pricing could be lower or fall further, how do we look at that?
Paul Wagstaff: Yes we are lapping in January oil, shortening and flour. Milk won’t be until June of next year. We look at all of our pricing at the end of the fall bake time period so we won’t make any decision on going forward with our pricing until after the holidays and obviously we watch the commodity marketing closely on that. At this point we don’t have any announcements to make.
Mitch Pinheiro - Janney Montgomery Scott: Regarding your cash flow, it looks like to be way above average free cash flow here. I know you’re precluded from share repurchase for about another year. Is that in fact, is share repurchase still at least a year away? Is there a possibility that you consider maybe a special dividend or anything extraordinary over your regular rate to return the extra cash?
Mark Belgya: This may sound a bit like an old record but first of all yes we cannot buy back any stock until next November, its a two year time period from the November 6th close date so it will be November 6th next year. I would say that we have said that the likelihood of a “special dividend” is not very likely. That was part of the transaction and I don’t want to speak for the Board in terms of the quarterly dividend but we clearly stated our policies to pay 40%. We typically do look at that dividend in April and we do realize the cash flow is significant so I’m sure the Board will take that into consideration. I would also point out on the buy back we do have 3.7 million shares outstanding so in the event that it made financial sense to do that next November we are positioned from having the shares available to repurchase.
Operator: Your next question comes from Ian Zaffino – Oppenheimer & Co.
Ian Zaffino – Oppenheimer & Co.: When you initially did the Folgers deal you talked about growing the Red Can business, you’ve clearly done a very good job of doing that. The next leg would be Dunkin Donuts. What are you doing there? I know you have a bunch of skus that you’re looking to expand nationwide. Also if you can talk about any type of single serve you might have that’s a very good growth category.
Vince Byrd: From an ACV perspective on our core Dunkin items we’ve been asked before when we were about 75% to 80% on the flanker items those we’re still in the 40% to 60% range. If you compare that so think about it as we have probably average about six skus per store compared to our competitor who would have nearly two and a half times that amount. That’s why we still feel very comfortable that we’ll be able to have double digit growth, although become more difficult in the future. Our Dunkin original blend happens to be the number one selling sku in gourmet and happens to be in the top five of all skus sold in the coffee category at this point. We remain very, very optimistic and we have a number of new items that are in the pipeline to introduce over the coming months. Secondly, as it relates to single cup is what I think your second question was. I think you know that we have stated on previous occasions that its out intent to explore all segments of the category and we have nothing to report but we continue to watch that category, its growing very significantly although of course its still relatively small piece of the pie. Its a category that we will want to try to figure out how to participate one way or another in the future.
Ian Zaffino – Oppenheimer & Co.: How would you prioritize all three those, whether it be Red Can, Dunkin expansion, or new skus or single cup? What are you really focused on?
Vince Byrd: I hate to say they’re all priorities but to be honest with you we have said from day one if we don’t grow Red Can we’re not going to be able to grow the rest of the coffee business and fund the activities for the other business. I think we’ve also stated before that the margins on Dunkin are very good and healthy and so that’s helping fund other activities as well. The number one priority was to make sure that we grow the core Red Can business and get that back on track and invest in some of the core equities, “The Best Park of Waking Up” etc. We’ve done that successfully for three quarters but again we’ve only owned the business for one year. We still have a lot of work ahead of us. All three are at the top of our list.
Operator: Your next question comes from Ken Goldman – JP Morgan
Ken Goldman – JP Morgan: On Coffee, you talked about increasing your long term target to above 30%. I’m wondering I know its a little early and you haven’t owned the business that long but if we do see Arabica staying wherever it is $169 per bag or so right now, can we see those margins staying above 30%? I know again you’ll pass a lot of that on through pricing as well but just in terms of modeling how should we think about that with Coffee at the current price?
Mark Belgya: Its going to go back to how high it potentially goes because we probably won’t be able to maintain the margins that we’re maintaining currently as a percent. Again its a dollar target that we’re going to be shooting for. Clearly we would hope that we’d be able to keep those, I’ll say almost regardless of pricing at 30% or slightly above. That will vary depending on how high the coffee market goes.
Ken Goldman – JP Morgan: Your corporate administrative line was just a little bit higher then I thought this quarter. I was hoping you maybe get more synergies from the Folgers acquisition, 43.1% is that a reasonable number to use going forward or how should we think about that?
Mark Belgya: The reason for it was a couple specific things. We did record some additional compensation expense in the quarter and then some higher then planned expenses around some of our shared services like legal and some tax and the like. As I said earlier on our SD&A or G&A in particular we made some assumptions when we put the synergies out there and we talked earlier this year in our target of SD&A of 20%. I think what you have there is pretty reflective from a dollar perspective, it might be up a little bit because typically we do see some timing where expenses come in, in the back half of the year versus the front half. Of course realize that with sales being less in the second half versus the first you look at it just as a percent it likely will increase. I’d like to make a point of clarification too, there was an earlier question around the Coffee the $800 to $850 million. That actually did include the special market coffee as well.
Operator: Your next question comes from Eric Serotta – Consumer Edge Research
Eric Serotta – Consumer Edge Research : I wanted to circle back on your comments earlier around pricing pass through and some of your more commoditized businesses. You pointed out the rise in soybean oil costs. At the same time, looking at what’s going on in the channel it seems like there is a good deal of competitive pressure out there from Conagra, from store brands. Obviously they’ll have to move prices somewhat or take some margin hit. What gives you guys the confidence that the historical pass through mechanism or the historical ability to price in that business for commodities still holds in this environment?
Paul Wagstaff: Yes, you’re correct, there has been some competitive activity. I would like to point out, on the Crisco business even with that competitive situation we have been able to grow the base volume by about 12%. We feel comfortable and confident going forward that with the retailers we do think they understand, we’ve been very transparent with them with the commodity pricing that as they see costs go up and it hits a certain point or percent we will be pass the price through and we don’t think there’s any reason that they wouldn’t accept that.
Richard Smucker: The other this is we’ve developed a long term trust with our customers. We’ve taken our prices down just as quickly as the commodities have come down. I think they realize that and so trust is very important with our customers and we don’t want to risk that trust. We think if we need to take the prices up when its justified.
Eric Serotta – Consumer Edge Research : In terms of what you’re seeing from your retail partners, some of your peers, not necessarily in the same categories, have sighted sku reduction that they’ve done to try to stay ahead of the curve in terms of anticipated retailer pressure on sku reduction. When you look at some of your categories whether its fruit spreads, or coffee are you seeing increased pressure from retailers to optimize the product assortment that they’re offering. If not, are you expecting that. If not, why not?
Vince Byrd: From a macro perspective you’re obviously again correct that a number of retailers are looking at their skus and going through sku reductions. It gets back though to owing and marketing number one food brands because even if our skus may be reduced typically we end up being very favorable in those sku reduction opportunities and whether our competitor would lose fringe skus or they lose entire brands sometimes. It ends up increasing the turn business in our case. In the cases where we don’t have number one brands there have been some areas that we have lost business. From an overall perspective we have netted out to be very favorable in that process.
Steve Oakland: We’ve seen that happen and obviously its been very public. Several of the large retailers are doing that across categories. The Smucker’s brand, the Jif brand have benefited from that. We’re in all of those segments, we’re in all of those retailers. In most cases we’re they’re partner, we’re they’re analytic partner or category captain so we’re helping them do that. Its important that we take a category view of this but typically if you had the shares that we have in those categories you’re going to benefit. There’s been a couple cases, potatoes and things where we’ve lost a few items but the core Red Box potatoes have made up for that where we are number one. I think its really made us feel even better about our strategy.
Operator: Your next question comes from Chuck Cerankosky – North Coast Research
Chuck Cerankosky – North Coast Research: In looking at a couple things there what would you characterize as the most competitive categories going forward?
Paul Wagstaff: I’d probably say Oils is one of our most challenging categories we have. Again, private label is the dominant player in that category so I think going forward that will be our challenge.
Chuck Cerankosky – North Coast Research: Any of the others that anybody else there might want to highlight.
Vince Byrd: I don’t think any of us think any of the categories are easy, to be honest with you. I think if you talk absolute size obviously we’re watching the Coffee business everyday. I think all of us feel that we’re watching the competitive activity on all of our brands.
Steve Oakland: Even though something like fruit spreads might not have the competitive set we challenge ourselves for real growth in those categories. Sometimes even though its not the competitor you’re trying to get inside the consumer’s pantry and on their table more often, those can be challenges as well. We try to challenge our teams on all of the pieces.
Chuck Cerankosky – North Coast Research: Anything to talk about on instant coffee. You’ve got a nice market position in that, Starbucks might be legitimizing that part of coffee and I’m wondering what you can talk about there.
Vince Byrd: First off all, we’ve stated any activity is good activity and obviously all of us are watching Starbucks entry. Its still too early to tell I think even for them, even with their expansion. We have used the opportunity we believe that our instant has been under invested in over the past several years. We have a number of initiatives in that area to bring maybe improve the quality and packaging of that product. I would also say by emphasizing that category a little bit in the first six months our business is double digit growth. Again, its one we’re taking a look at and of course you can’t ignore what’s going on worldwide with the growth of instant.
Chuck Cerankosky – North Coast Research: That’s double digit growth in Folgers instant in the first half of the year for you?
Vince Byrd: That’s correct.
Chuck Cerankosky – North Coast Research: Sales or volume?
Vince Byrd: Both.
Chuck Cerankosky – North Coast Research: Any thought on what’s driving that?
Vince Byrd: Attention to detail by our team and our marketing efforts to say we need to focus on these segments and not focus on so much things like opening price point segments.
Chuck Cerankosky – North Coast Research: Any explanation why the CapEx guidance is up?
Mark Belgya: In terms of the $120 to $150 million its basically when we put out our estimate at the beginning of the year that was before we made the decision, I think you guys are aware, we’re bringing up the coffee and the rest of the oils team from Cincinnati. We have a construction project in the works here in Orrville and it reflects that primarily.
Chuck Cerankosky – North Coast Research: The softness in your organic lines is that the customer pulling back or are you losing share to private label?
Mark Smucker: The organic business, just the industry in general, is down and it is a combination of our customers being down as well as a little bit of strength on the private label side. You will see the numbers in that industry are relatively sparse to try to measure that on a rolling basis. We have seen that even some of the private label businesses have been down. I would also point out that in our Natural Foods business it is not entirely organic so there is a mix there within that business or our all natural beverages as well as some of the organic stuff being down. We would probably expect that industry to continue to have some challenges. I would say the light at the end of the tunnel is that we have seen there is a core organic consumer that is dedicated to that category and will not switch out.
Operator: Your next question comes from Bryan Carlson – Atlantic Investment
Bryan Carlson – Atlantic Investment: On Food Service coffee, I noticed that in the quarter Food Service coffee was around $43 million and that’s up quite a bit from Q1 maybe that’s seasonal. It seems up from the periods last year during colder weather time. Can you talk about what you’re doing or what’s driving that performance.
Mark Smucker: In the Food Service coffee area that industry is highly fragmented. We’ve been really focused on the first year on just blocking and tackling. We’ve got a number of different brokers out there that sell the coffee for us. We’ve actually spent a tremendous amount of time on training so that we can do a better job selling and we’re starting to see the fruits of that. As well as also focusing on the areas that we feel we can win. Some of those would be selling coffee into offices similar to the one we’re sitting in here in Ohio as well as focusing on the equipment and service business in the areas where we think we can win. It isn’t channel specific as much as it is focusing on the right customer partners.
Vince Byrd: As well as we’ve taken a look at the products that we offer and we’ve improve the product quality we believe that there was an opportunity to raise that to be more consistent with what is offered at the consumer level.
Bryan Carlson – Atlantic Investment: Can you tell me what the growth rate was for the Food Service coffee?
Mark Smucker: I’m not sure we would provide that.
Vince Byrd: We break out the coffee so you can see that as part of the special markets but I don’t think we disclose that.
Operator: Your next question comes from Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank: I think you had mentioned that Crisco and Pillsbury were both up double digit, is that correct?
Mark Belgya: That is correct.
Eric Katzman - Deutsche Bank: Yet the segment volumes, that was a volume quote right?
Mark Belgya: Yes.
Eric Katzman - Deutsche Bank: Yet the segment volumes were only up, not only because its very good performance, up 3%. I think you called out that the milk business was weak. I thought that that’s about half private label so I would have thought that that piece would have done pretty well. Is that pulled down that segment’s volume numbers?
Paul Wagstaff: Yes, during the canned milk piece what’s happening is again with fall bake our quarter falls right in the middle of fall bake. When you look at last year we had some promotions that were going on in October that are this year going on in November. A decent amount of that volume decrease is due to timing of promotions. I’d also say from a regional baking business we had discontinued some regional brands here this past year and we’re seeing the effects of that this fall bake.
Eric Katzman - Deutsche Bank: The legality around the reverse Morris trust and the restriction on the share repurchase for the next 12 months, does that also have any implications to additional M&A activity using equity?
Mark Belgya: No it doesn’t. Its just around the buyback.
Operator: Your next question comes from Mitch Pinheiro - Janney Montgomery Scott
Mitch Pinheiro - Janney Montgomery Scott: In your new Folgers pricing strategy have you seen any change in the volume done on promotion versus non-promoted?
Vince Byrd: I suppose we’ll know better as we get through the O&D period or the holiday bake period because again our promotional price points that at least we are funding will not be as low as maybe has been historical. I should caveat to say as you know if you look at a lot of ads by key retailers there’s usually some items with block leaders whether it be turkey’s or whatever and we’re finding coffee is a drawer as well. I think what its doing is what we want it to do is to increase the everyday turn business and not be so dependent upon the promotional volume. I’ll probably be in a better position to answer that after the third quarter.
Mitch Pinheiro - Janney Montgomery Scott: I would think the times if you’re buying in the Red Can I would have assumed consumers would buy on the deeper discount and only buy regular price when they run out or on more limited occasions and therefore if you go this strategy it would seem you would think maybe perhaps people would still wait for your promotion and then when you do get the regular full price customer you’re getting a lower dollar on that full price. You’re not seeing that obviously.
Vince Byrd: No we’re really not. Again if you think about a number of the major retailers are already basically on an EDLP approach anyway. There wasn’t much change in what those consumers thought. We believe its better to provide that consumer with everyday better price then try to train them to always just buy it on deal.
Mitch Pinheiro - Janney Montgomery Scott: When you buy a company from Proctor & Gamble clearly they have a certain machine that’s focused on the top 80% of the accounts, maybe leaving the bottom 20% not ignored but certainly not focused on. How much of your market share gains, your volume gains have come by providing attention to the bottom 20%. Has same store sales so to speak been as robust in the top 80% as the bottom 20%?
Vince Byrd: I’m not sure that we know that the exact percentages are but I think its fair to say early on we suggested that maybe some of the key food retailers were underdeveloped and then alternatively some of the alternative channels were overdeveloped versus what Smucker business percentages looked like. Again, in a very short period of time our team is able to focus on some of those retailers that maybe were underdeveloped to bring them more in line with Smucker’s overall business.
Tim Smucker: Let me add to what Vince said. Its sort of a mindset with our company. Every employees makes a difference but every customer makes a difference and every consumer makes a difference. The more our employees understand that, our team understands that, that makes a huge difference in going to market.
Operator: I will now turn the conference back to you to conclude.
Tim Smucker: Thank you all for your interest and the time on the call this morning. Let us all wish you many, many memorable meals and memorable moments over the Thanksgiving period.
Operator: This concludes today’s conference. We appreciate your participation.